Operator: Good afternoon, ladies and gentlemen. Welcome to the B2Gold Q3 2016 Conference Call. I would now like to turn the meeting over to Mr. Clive Johnson, President, and CEO. Please go ahead, Mr. Johnson.
Clive Johnson: Thank you, Melanie. Thanks, everyone for joining us today. As Melanie said, we're here today to discuss the strong financial results we've had in the improvements of our lines over the last quarter and also for the nine months of the year. We also gave an update on the progress of the Fekola construction in Mali and while the news release of our view is very completely true and very mature for the quarter and hopefully, fairly clear in its description of what we've done on the events leading up to it. But we will open after a brief presentation, we will open up for all questions. So, over to you Mike thank you.
Mike Cinnamond: Thanks, guys. So, it's nice quarter to talk about the financial results for sure. So, I'll just run through the income statement and then the cash flow statement. So, firstly on the revenue side, we've record quarterly revenues of $193 million and that's based on record ounces sold of 145,000. We had a realized price of $13.31 [ph] in the quarter, significantly higher than it was originally budgeted for the year. So, overall compared to prior year, we're up 39% and that's driven by 17% increase in the ounces sold and a 20% increase in the average realized gold price, so very strong on the revenue side. And record revenues are basically driven by record production. So, for the quarter, we produced 147,000 ounces, which was better than budget by 8000 ounces. And it's a record quarterly production and it reflects the continued strong operating performance particularly at Masbate and record production Otjikoto. Just looking briefly, mine-by-mine Otjikoto had 48,000 ounces compared to budgeted 43, driven mainly by an increase in throughput. Masbate has 48,000 ounces compared to budgeted 46 and Masbate has continued to - as we guided in Q2 continue to benefit from higher grade coming from Main Vein and also a greater percentage of higher grade in oxide ore content from Colorado. And in fact, Masbate is probably here little more later, we've actually change the sequencing some of our mine plans now to take benefit of some of these positive results we've had to date and prepare ourselves for production next year. La Libertad 37,000 ounces against the budgeted 34 driven mainly by higher grades in which forecasted as we focused more on mining from heavily Central rather than Tana. So, overall very strong quarterly production. And one other thing to highlight, I think that's not directly financial results reporting related, but Masbate actually saw greater than $6 million mine ores without a loss time accident, so a whole year basically without a loss time injury, so we think that's very significant, we've mentioned it in our release, but I think it's good to stretch it here. So again, record production leads to basically record low cash costs and all-in sustaining costs. So, on the cash costs side, we had record low quarter of $491 an ounce against the budgeted $564 an ounce. So, we beat budget by $73. And in general terms that's due to overall cost optimization efforts across all the sites, lower fuel costs and greater production in both at Masbate, Otjikoto and Libertad. So, looking at them individually just to highlight a couple of standouts. Otjikoto has quarterly cash operating costs of $344 an ounce, we budgeted it to be $364 so we thought it would be low to start, but what we still beat budget. And that's better performance as a function of lower fuel price, lower consumption of fuel reagents as well. And at Masbate, we had cash costs of $466 an ounce which beat budget significantly, budget was $645, so we beat it by $179. And Masbate as a function, quite a number of factors obviously, the better production coming from Main Vein and Colorado, better oxide content, lower fuel prices and also this quarter for the first time, we were able to realize the benefit of the recent upgrade that we've been put in place at Masbate with the tankage that was the main component grade actually came online right at the end of June, so we've had the whole quarter. And I think perhaps you'll hear a little more later on what we think that's going to do for recovery since we go forward. And all-in sustaining cost for the quarter. We're able to say record because we've not reported all-in sustaining costs for a whole operating life, but certainly very low $704 an ounce against a budget of $843. So, we - on the all-in sustaining thing we beat budget by $132 bracs and we beat the prior year by $173 an ounce. And that's a function of both the lower cash operating costs, we just discussed and also lower than budgeted CapEx. CapEx is down to a few reasons, I’ll talk about a little bit as I go through the cash flow statement but broadly speaking, we haven’t done some of the stripping and the first strip that we thought we might have done just because of change in mine sequencing and also we’re benefiting from things like lower drill prices as well and we do think about the first strip. So, record quarter on those fronts year-to-date, the word record will feature a lot as well. So, year-to-date we’ve got record revenues of over $0.5 billion. Record production 410,000 ounces against the budget of 380,000 so, year-to-date we beat budget by 22,000 ounces which a big part of that is that a really solid production and operating performance of Masbate, Wolfshag, Otjikoto. Cash costs year-to-date record low for nine months $495 an ounce will beat the 500 mark. I guess budget of 581, so we beat budget by $86 an ounce, which is very similar to how we beat in the third quarter so that performance we've had through the years continued right through Q3 and as reflected in the year-to-date numbers. And then the all-in sustaining thing $765 an ounce against the budget of $961, so almost $200 better the budget. So, with those we had strong performance through half year and we see that continue through Q3 so we wish that some re-guidance was for the last quarter for the full year. Production as we reguided now for between 535,000 ounces and 575,000 ounces so it’s been an uplift by 25,000 ounces which is all based on reguiding at Masbate, which is now forecasted to produce between 200,000 to 210,000 ounces this year. Cash costs which we reguided to between $500 and $535 an ounce down from the previous guidance of $560 to $595 an ounce. An all-in sustaining costs to be reguided to between $780 and $810 an ounce down from the previous guidance of $895 to $925 an ounce. Compared to the solid operating performance just covering the couple other items in the income statements, one is, we did take a small exploration properties in the period of just under $10 million and that relates to both restructuring our interest in joint venture with Calibre and Nicker [ph] and also small write down to one of the other exploration projects in Colombia. Taxes were a little higher than prior year and that’s really a functioning gain of higher revenues that we got and we got higher operating cash flows and results typically Libertad over tax, so we got higher taxes. Overall for the year, for the quarter we had net income of $36 million, $0.04 a share, adjusted earnings have to be strip up mainly in all cash items were $48.6 million or $0.05 a share. Year-to-date earnings of just under $31 million, $0.04 a share, adjusted for the non-cash items particularly the mark-to-market so we have on the convertible notes which are non-cash. As we get mark-to-market for the income statement adjusted earnings were $96.4 million or $0.10 a share. Due conference on the cash flow statement which reflects I think how good the operating performance was and quarterly operating activities. The cash flows from operating activities were $90 million almost triple what we did in the same quarter last year and reflects really this the great performance in the operating cost per ounce I described earlier. Those increases are function both of also higher gold prices last year we realized just over 1100 bucks an ounce and this year we’ve averaged 1,300 bucks an ounce for the quarter so function of revenues and better cost performance. On the financing side, we actually repaid $25 million on our revolving credit facility so at the end of the quarter, we’ve only drawn a $150 million of the $350 million that’s currently available, so we think we’ve got very good liquidity there. And there was $55 million as well, that was received from the proceeds of common shares. So, 25 of that came from partially like completion or filling of the ATM perspective and issuance that we issued in the quarter. And then the balance of 30 million came from the exercise of options. On investing side, we spent just under 94 million on investing activities, cross over sites. I think it's well very to note that basically we funded the investing activities with the cash flow from operating activity. We did have some nice financing inflows particularly operating activity funded our investing activities for the period. At the end of the quarter, we finished with just under $124 million in cash and working capital of $115 million? So, we feel very comfortable with we're very well finding and ready to see some cooler term to the end of its spell as we commence and for its - one of that for a reason in the fourth quarter 2017 and to maintain our desired sort of liquidity or cash levels somewhere around a $100 million throughout our operations. Year-to-date, just comment on the operating cash flow, we generated $329 million that included a $120 million from the prepaid financing we did earlier in the year, but again I think very well with the point out generating $329 million from operating activities and we spend year-to-date $270 and investing. So, all front, I think to cover the activity that we have it also. Just to comments on CapEx. Overall we have reforecast for you and that we're probably - current operations will probably be about $30 million to $31 million under what we originally budgeted there's few reasons for that. Some of its relates that just lower different step than we thought, because the changes in sequencing and some of it relates to things like comps that will be pushed into next year for say a little bit heavily in terms of my forecasting come on and be developed in the second half of next year. So, there is about $10 million narrow that we have forecast for this year that will come on next year. So, we'll be about - will be about $30 to $31 million done on our capital expenses across the current mines but we've also formed petrol coal budget for this year from the original construction budget, we've been lifted it up by $27 million and the main components of that are $10 million this year related to the relocation of a village near site for Degu [ph]. It's a relocation that we want to do under our mining permit, but we think it's the right thing to do so. So, we're doing that. So, there is $10 million budget for that. We previously discussed the expansion that we've already put into action at Fekola and we're planning to go from $4 million to $5 million tons but at time that we bring the mine on at full commercial production. So, the $7 million and the budget for that because I think things are going well as the size we have actually preorder some of the fleet earlier than we thought, so we can get into some [indiscernible] to more a little bit earlier than we originally planned, so there is $5 million in there and there's few other items. In total, we've bumped it by $27 million, so although we've got a $30 million CapEx saving from some of the sites, we basically replaced that for the additional for Fekola spend this year where we've accelerated some of then spend. I've put some items in the budget. So, all in all, we think total CapEx for the year is going to be pretty close to how we originally guided albeit with the change in the mix. And I think those are the main items that I wanted to cover as part of the financials sort of overview I think it's been a very good quarter and I think very positive on the cash flow generation side on the operating performance side.
Clive Johnson: With that, I'd like to Bill Lytle to give an update on the Fekola construction progress and will talk as well on those, the progress we are making in with the following government, the relationship there with Mike and probably Rajala calling on that, reiterating small accounts. We had very successful tour of this site and some good time with the number of analyst reviewing the construction and the exploration upside for call and also an update on other aspects of our company and other opportunities et cetera. Bill?
Bill Lytle: Great. Thanks, Clive. The key takeaway to that when I am talking to this is that as Mike said, we remain comfortably on schedule for our fourth quarter growth for our next year, full year production in 2018. That the current situation we remain on budget through today, any variations in the budget relating to timing of orders and basically the way we're allowing capital. Clive said some which is very important, I think really to talk about the good win and we're on this analyst touring and when we came back to London. There were some questions related to how B2 might be, how this project used to be going, so why it's going so well and I think it's very important to remember a few things about this project. As Clive, I think has mentioned on several other calls, and the design is very similar to what we just built it at Otjikoto as he likes to call Otjikoto on steroids. It includes the same design team that we had at Otjikoto that's like the podium in Brisbane, Australia. It's the same engineering team that's working from our sites to include John Rajala, the VP of Metallurgy and his team, it's the same construction team that we've had on the last five projects back through the Bema days [ph] Kieran Loughran and again Richard Matson, the same commissioning team, the same team has commissioned Otjikoto is now ramping up and starting to move in the Fekola, we are starting to establish the operational team, we brought back some old friends from Bema days, the Randy Reichert has agreed to be GM there. We’re using Jack Stanley, who has designed all of our labs and he designed many labs throughout the world, and it's that concept of the continuity not only the design, but the team which has allowed basically to maintain our schedule and to maintain our budget. Additionally, one of the things that we done is we’ve added, there’s always been this concept of how do you empower the historically disadvantaged people of Africa and one of the things that we’ve done is we've actually looked at some of the shooting star that we had that we trained in Namibia as part of our team and now we move them to Fekola. So, we’re proud to say this and certainly the Mali government and the Libyan government has been impressed in what we’ve done that. We currently have more than 60 Namibian that work lifted in Otjikoto now being supervisors and leads at the Fekola project and we will continue to see that as we move on to our next project. Just an update and kind of where we’re at talking through the major discipline. On the concrete side in the major areas, so that's the pressure reclaim, the foundation [ph] and the leach tank to CIP tanks, all of those are now been materially completed at least the foundation quarters. On the earthwork side, we remain ahead of the schedule, but those I think the fact it was really quite an impressive show, what’s going on there. And the diversion this side, which have to go around the pit and those are ahead of schedule of what we’re continuing to work in the mill area and some of this on the mill pads, the laboratory pads, the warehouse pad. We are now getting ready as we come out of the rainy season, the rainy season just ended and we're still getting sporadic rain, but it's complete, basically complete now. We're going back into the tailings area and recompacting that and getting ready to lay liner. The lining team has been mobilized with the first group is on site and we anticipate over the next hundred and some days to have that liner in. The pit was opened up, ahead of schedule originally was opened up to put materials, the built the Rom [ph] pad, but now that we have seen the mill is getting some real traction, make sure there is a sufficient amount of ore to start the mill up. Some we’ve opened up another area of the pit and we're now looking, the mining manager is on site. Structure steel continues to arrive at site and be put up. We continue to put structural CR within the crushing area, within the reclaim area, that the frontend of the mill area is the structural steel is going up. Additionally, all the conveyors, all the way up to the mill had now been put up, they're currently working on rollers and idlers. Let's see the pebble crushers in, so one of the things that made little bit different than Otjikoto, we’re actually using bolded [ph] tank for the tank areas, So, those have come in early and those are now both the CIP and the leach shape area has all their tanks up, Additionally, lot of the smaller tanks prep office water tank, fresh water tank, the leach tanks, all of those are either in or going up right now. We have things that are coming up here in the very near future as I said, we're talking about installing liner next up. Certainly, as Mike indicated we pre-ordered or ordered a little bit earlier some of the mining equipment, make sure that came in and that will arrive in January and we plan commissioning in February for March start. The mills will be arriving kind of at the end of the year, for probably next year, those would be starting to begin installed. Additionally, the laboratory, so we can make sure we have adequate brake control and everything it’s already been at the module laboratory out of Canada, that’s been ordered and that will be arriving at the site and be installed with an intent to have that operational in February. So, those are the next big thing which will happen towards the next quarter. Currently, we have just under 900 persons on site and which is just under 200 people are ex-pat. So, over 700 Malians working with us. I'll talk in general about government relations and maybe pass over to Mike who is dealing more with the convention side of thing, but around this, around this analyst that we just had, we have some a very nice meeting where we have the Minister of Mine come in. The Minister of Mine and actually the Canadian ambassador came in together. Both of them said they’re very proud to be associated with the project, They only have the tour, we met the Minister of Finance followed up by the last meeting of the week before I left to come back to Canada. We met with the President of Mali and it was a very interesting meeting where the President of Mali gave us his vision which fit very nicely and towards B2 does as a company dealing with corporate social responsibility, capacity development all of those things that we think that we are very good at and we left the meeting with them giving us an assurance that he was very pleased with what we were doing and then he would give us full support as we moved on this project collaboration. And so, we came away even very good about the week and what we’ve done I mean and we’ve talk a little about meeting with the governor.
Mike Cinnamond: Sure, those meeting we would cover sort of three main topics over beyond really just giving them an update to how well things are going for Fekola on the both side. The topics are the evaluation for the 10%, the government clearly indicated that was like to take it 10% of the project as presented under the code. I think those valuations discussions are now very well advanced, the values to be done both side and now we are just in the discussion space, we get that finalized as we expect to do that before the end of the year. When the shareholder agreement which the case how we interact with each other as parties and countries sold drafts and a great subject to drop it in the final valuation so that, that part is done. On the convention side, we’ve met a few times now with them just on the convention which launched in our fiscal’s stability, arrangements, so we're waiting for response for them for the last correspondence that we had that we expect to finalize that probably early in the New year. But just to reemphasize that the convention itself isn't a significant negotiation and basically walk into the place fiscal regime that existed at the time when the mining license was granted which in our case is 2014.
Bill Lytle: Okay. Actually, the couple of things before we open it up for questions, there has been a lot of conversations around the Philippines and due to a Philippines and the mines in the country that the government is carrying out and just to this is very well disclosed in our initially Santander MD&A for the financials and thanks to the lawyers, particularly the American lawyers, mu opinion is quite a bit drama, but at the end of the day, we - if we consider to be a serious issue, we're taking very seriously and we like all of the mines that the Philippians went through and audit, very professional audit conducted by the governments with professional people and in our case it was - we were pleased I guess, we may not have particular issues because of the fact that we are - both the Canadian and Australian standards which is clearly what the President is saying that he wants foreign investment in the Philippines. He wants foreign investment mining, but what he wants is what some other countries including RSN Joyce [ph]. That is an extremely high standard of environmental protection of CSR relationships and all other things working with government and working with the communities. We see ourselves as a bigger example of what can be accomplished with Canadian and Australian standards back to the Philippines and so we are very pleased what we said, the auditor brings up some points and we have now responded fully to all the issues raised and the fact that we number the issues in the audit or the clarification issues for the government and things like accordance of upstream being misunderstood or gone. So, things that we are close to recover we geared up some things with them and responded to all of the issues with IT global in our view its short-term ways to remedy any of the issues this will come up. So, the governor's bonds and that is supposed to be fairly order to have response to all - their responses to the audit. And we are thinking that sometime in November, we will hopefully be able to clear out this issues out. Let's talk about the potential mine shutdown in the process that have the government satisfied with being responsive to the auditor et cetera. And frankly, we think that is - and at this point in time we would suggest that is highly unlikely event, in our case for numerous reasons. There were no significant or social issues that came out of the audit. And in that regard the government has been very impressed as being evident in the past both. What we've been able to do at Masbate and the extraordinarily high standards that we think we set for the rest of the mining industry. So, we're very comfortable with that. For that reason and also for the reason that the impact of the Masbate mine and the importance of the Masbate mine to the community of [indiscernible] really can be underestimated. We're over 70% of the economy of the Ireland in this have some of the jobs and they and the direct jobs and other jobs associated with it. We are very important in that Ireland for the community and have fairly strong relationships with their given lever for time with the local governments and local people. And I think if you anyone is particularly interested in the CSR please be - to on the website and look at many of things we do with schools and doing other things that to try and promote sustainable business for the local community and also improve things like transportation, education and many other areas. So, just want to interesting to sign that when the audit is right now I said covering audit is right now safe. We had we simply were offering them and we as we typically very transparent completely transparent with them. But it was interesting [indiscernible] to us and we have nothing to do with it. There was demonstration if the mine and the demonstration of the mine when the auditors arrive was local people, local families of miners making a very clear to the auditors and there for the government that this mine is hugely important to them and they look for test to get any discussion or any possibility that may change. So, that was an interesting I think sides of that. So, once again and these things need to be addressed and they are we taking very seriously. But we think we're on the track to in the near-term being able to confirm that the government drills what we're doing and continually to manage excess of that [indiscernible] mine especially reselling it also our significant role we play in that for local community. Recently, I can't remember the numbers of these things but recently we received six months an environmental certificate that was very positive about our environmental what we've done and also very positive on our plans going forward in terms of environmental. So, we took that as a real positive, but I guess that's one of the reasons why we feel confident that we could work closely with the government and we would not have any in our view significant questions raised by the government and the audit. And so, for everything we seen we're satisfied in the investment case. So, and about that is speak to that and the - and be in a particularly and also in the initially to somewhat of a lesser extent. So, just I guess a couple of other comments before we open up for questions. We're very pleased with what we said as a company, our results are very good and there is a lot of hard work that has gone into that over many years. Things like Masbate when we acquired, there were some critics as to always are, but the critics were understandably saying well, this is $890 an ounce, it's not one of your cheaper acquisitions. Will you pay too much and buy it? Our tracking team after exhausted to deal just with our own people as we tend to do technical and everything, taxation everything else that we've been doing. The simple best part that we can make significant improvements to the site in terms of write-downs and mining that we're understanding what is oxide and what is mix and what is Sulphides. And things like John Holland working very closely with the guys on site to do some very important upgrades such and there was two plant. So, we're not working we can take full credit for the dramatic drop in operating cost on those body, but I think we can we've have significant well. Obviously, fuel prices help to some extent. And we also found somewhere on site material that had been perhaps anticipated. So, very positive result, but I think the point here is that many companies are taking over the mines and fortunately everyone says, lower operating cost and sometimes it happens some practice happening a little bit more or less in few years which is a positive sign for the industry that has been something considered very poor technical work in acquisitions and you name it in the industry but this doesn’t happen overnight and I know there are a lot of people who presenting shows I think the allies understand it more. But to other people who may understand obviously, reason, one of that really takes improvement mine or to build a mine and to run a mine at a profit. So, we actually want to talk in this sense, but it doesn’t happen overnight. Some people after expanding a sector in a month you will now see dramatic drop in the operating cost. Well, our industry is a very difficult industry and there’s a lot of things that go into that and some such as what we’ve done, huge amount of work from everything from understanding the deposit and work which is helping as well and all the other technical things that I’ve talked about, about taking something like this dramatic [indiscernible] so I guess it’s been about a three or four-year process and so equally that’s perhaps not unusual in our industry. Sometimes it can happen faster as the mines have been very poorly run, like some of the ones out there, people are having results in terms of lowering the operating cost through better records in mining. So, Fekola you don’t talk about that and [indiscernible] that is a very significant project for us obviously because with it coming online in the fourth quarter of next year. We anticipate that there'll be a dramatic increase in our production from around 550,000 ounce range this year to somewhere over 900,000 ounces a year annualized by the fourth quarter next year due to all of our current assumptions, which are pre-standard things, 50 gold and other assumptions of course that especially continues going on as well as it has et cetera but we’re very comfortable with our assumptions. We’re very comfortable with our ability to do this so that can have a dramatic effect one would expect, the market cap of the company is clearly in every way we’re growing or almost doubling. And we, I guess have thoughts perhaps naively, but we’ll see, I thought that perhaps with our great success at Fekola and the understanding for quite some time that it is a probably the - one of the best mine developed gold asset in Africa than one of the better ones in the world with the strip grade and location and loss ratio and then obviously extraordinarily attractive economics starting at - somewhere approaching 400,000 ounces a year with operating costs somewhere around $406 an ounce of gold. So obviously, the dramatic effect on the company’s production, but just significant dramatic effect of the company's earnings and things like cash flow operations that may be Michael, the right question that's asked maybe Michael did wanted to teach on that. So I thought that perhaps that given our success of the Fekola so far and a fairly good understanding of the market [indiscernible] I guess I didn’t thought that given our excellent track record and my construction maybe we will start to see value for that as we derisk it nearly a year away from production so maybe that'll cover maybe we’ll just - maybe will between it despite our differences like a lot of the industry with people saying until you reach commercial production I'm not going to reimage your company and I'm not going to buy it to distributing trading at higher value. So, we’ll see what best case and we'll final that as well. We’re not going to raise any additional money, look for call might be the AGM is out there and over the next year we’ll do the remaining $75 million of that what we want to on our terms and it’s a return $25 million of the 100 and it's not only miniscule if you look at this direction but if that the only two for resolution in our business is to raise money and this is the way and get benefit for. We will be using the $300 million from the ECM four things like further exploration and Fekola and Burkina Faso as well where we had some extremity positive results on both of them. But somewhere we’re very pleased with the progress of it. I thought obviously, I think we can that's always a very good job of transparently showing the analysts all the details of the core construction and all of the various things that construction company in terms of our transparency. So, that was really positive and not in any way complaining here. But I think I thought it was quite interesting the way the - lot of the analysts and we appreciate they're coming down and we appreciate there were some very positive of course which is always encouraging. But number of analysts were very, very excited by the exploration of site, which we are too and identified it as a catalyst going forward to reach the goal in the market before the reservation going. So well I think that's true but I think we're in a little bit of danger instead of missing the floors to using the sense that surely the major catalyst might forward. Here it's going to be hopefully the successful completion of the - and then shortly after that the - we see the dramatic impact it has. So, the company's is going to go from 550,000 ounces to over 900,000 ounces within a year. And actually, based on our current projects dramatically and reducing our consolidated operating costs for top of the great results we're having at existing mines. So, the financial implications from that for our shareholders without additional shares been issued is just quite compelling. So, while we appreciate the analyst detailed work in a very professional approach. I guess in some cases that kind of lack of planning because positive recommendations are always lumpy and it's very true to have those in this company going forward we'll be put an additional exploration success as this company and the predecessor. The goal always came to do which is accretive acquisitions and finding explorations to meet their good acquisition and create acquisition and we fully invest in the case in Fekola. Normally, I would mention that we think the [indiscernible], the positive Burkina Faso while it's low grade which is large deposit and when we acquire it for less than $15 million with our shares. We realized that it probably need the higher oil price or some exploration success. So, we rerunning the study there now. And on - that's a standalone fuel prices we think will be significant lower than projected at the feasibility study. And we're looking at some other changes. So, we'll see how that goes and I mean we're of the view probably today we're not there yet but it may still require higher oil prices were some nearby exploration success to make it viable to this market and make it something that we would want to go ahead with. So, we've had additional results from not that far away actually from the projected deposit. And that means I will call to that and nearby this will it's very soon to begin very important name. So, we've seen exploration results and we think that the exploration results initially we looked at and thought perhaps the explorations results which are a lot of intercepts over 2 grams of gold. And what appears to be potentially now pivotal situation. And it's opened in - Tom and his team are very aggressive in terms of as they are some of the other opportunities around in the course. So, we but that perhaps the Toga zone and the other zone may be potentially with the higher grade, because [indiscernible] bit of an impact significant may have the potential with economics in TI. But there is lot of issues there, so and we've had a lot of drilling to do. So, that maybe possible, but we're looking at cash positioning of it [ph] just updating their feasibility study as a standalone. And then we continue to drill the Toga and other zones to see if we have an economic situation. Perhaps those higher-grade results may in fact become deposits or may in fact be economic and therefore put very low, the first mile potentially with Burkina Faso. So, normally average sale of that, but I wasn't going to, but I guess I did. But the reason I was thinking about downplaying that was because that some of the - some very successful marketing along the way recently as creditors surprised to me, but I guess it's a reflective of the cynicism of investors and perhaps the money they lost on other companies that had significant difficulties like major write-downs which of course we never have. So, at the end of the day, the response that we got from some people was to worry about Kiaka, right. Worry about Kiaka, also well okay, we know West Africa and grade one and deposit still make it in West Africa. Okay, well it was my father so all people that generalize it wrong. So really you can't judge a project by its grade and you can't judge it by its lever and you can't judge it by any single measure. You have to look it all together. And for that are worried about Kiaka pretty still stiff and migrating with that. Because at the end of the day we're updating a feasibility study the sooner as we are. And maybe it's an asset for hard coal price maybe it's an asset of somewhere longer in the future and we have a permit and we're updating the study and we've got some excellent execution results not that far away. So, I don't know what everybody thinks that we might push ahead and know Kiaka and have that be a failure. We didn't suddenly after all this work could be done and we won't just somewhere they wake up still there at they'll there where - the economic. So, I really friendly as wanting about just get it exists and we'll come until you or other shareholders that to give you a lot of money out for stock we'll go to other people who put Kiaka and then it could really well in the next mining prime one for us. So, I think that's really all I wanted to say. I think now we will open up to questions. Thank you for your time and to our shows. We appreciate your ongoing support and to mining analysts we appreciate your professional evaluation of the company. But just don't forget the major catalyst over the next year, please. Okay, Melanie with that I think we'll open up the questions.
Operator: Certainly. We will now take questions from the telephone lines. [Operator Instructions]. The first question is from Rahul Paul of Canaccord Genuity. Please go ahead.
Rahul Paul: Hi, everyone. Congratulations on a great quarter. At Otjikoto you seem to be doing a lot better from a cash cost standpoint then your feasibility study forecast. We were expecting cost to go up when you started processing harder ore but they've actually gone down. Aside from lower fuel and currency benefits, I'm just wondering what are the other factors and how much it fits do you think would be sustainable over the long run?
Clive Johnson: Yeah, what we talked about this little bit yet. There will John, but jump in John if I missed this one. But certainly, see there is a power cost due to the hardness of the ore is lower for sure, that's one of the big one. We've also seen we've used yet less bawl mills or less bawls in the mills and the region cost are down slightly.
Rahul Paul: Perfect. And just a follow up to that, when you update the mine plan and technical report for Otjikoto where you try to incorporate all of this information. I mean the fact that Otjikoto is actually operating cost at Otjikoto are lot lower than you'd expect it to be.
Clive Johnson: Yeah, we're looking at budget right now. Obviously, those will be up until the end of this year, but that's certainly we thinking to look at that all of these cost savings and try to incorporate them into the budget.
Bill Lytle: I was going to make a comment about your first question John, by putting on spot.
John Rajala: The average margin is softer and there is a circuit was designed for the energy consumption is lower in our grinding circuit. And as Bill was saying the reagents in grinding bawl consumption are significantly less. So, that's where our major cost savings are in addition to fuel prices.
Rahul Paul: Great, thanks for that. And last question from me, Masbate, you seem to be consistently mining much more oxide ore than you modeled. Do you think it's a function of where you’re mining right now? Or does it look like you mean have taken a very conservative approach to classifying deal or are you seeing more oxide tons that you expected waste?
Bill Lytle: Hi, Rahul.
Rahul Paul: Hi, Bill.
Bill Lytle: We know that we sold more oxide this year and we know that Colorado Pit has been good for us. We see more Rockside come from the pit that's been transitional work changed category into our side ore. We also know that strip ratio there that we operated on it's a little bit more and we see that changing into the coming year. So, this picture last through the end of this year and then we are back to - back on our track on for mine development, as we've advertised.
Rahul Paul: Okay, thanks a lot, Bill. That's all that I had.
Bill Lytle: Thanks, Rahul.
Operator: Thank you. The following question is from Michael Gray and Macquarie. Please go ahead.
Michael Gray: Hey guys, thanks for hosting the call. Otjikoto with really good performance. Could you give us idea on the unit cost for mining, processing and G&A along with the separation of your third quarter?
Clive Johnson: I can do some of it, I don't have all here in front of me, but because I think that about last time. That the mining cost were about a buck 70 a ton. The processing cost were at about 1,150 a ton. I don't have the G&A in front of me and I don't have the stripping for the quarter, but I can get those numbers.
Michael Gray: Okay, thanks. And do you have an outlook for the phase II strip?
Clive Johnson: Outlook, which way the cost.
Michael Gray: No, just the strip ratio.
Clive Johnson: I don't know what that is.
Michael Gray: Okay. And final question just on the Toga discovery large mineralized footprint certainly got a better picture of the potential geometry in the course of acting inside that, so that was great. Do you have a sense of the drill spacing that's going to be required to sketching the deposit in any potential folding and can you also confirm the timing of the first Toga resource?
Bill Lytle: Thanks, Mike. At this time, we're not confident on what the drill space is going to be need to require partly because the kill that we just found which you probably saw some indication down there, we're not sure shape yet until we know the shape we can't really determine what the appropriate drill space there is to bring it to feasibility. We hope to find that out by the end of this year. In terms of timing of a resource, I mean we can produce a resource now, but it would be an incomplete resource and it wouldn't really help us in terms of doing mine planning. So, I have to put the resource of and to say it will probably sometime in next year, because the kilos are pretty large addition to what we already have, we know where the edges are and some of the drilling now takes some guts [indiscernible] towards on. So, I think it would be appropriate for us to maybe get it better handle on those shapes before we they come us as when we think a resource can be done. Bear in mind Michael, the first trouble of this was just last year less almost less than a year from now.
Michael Gray: No, fair enough. And if I can just ask, Clive alluded to and other unnamed deposit is that within a kilometer or two of Toga?
Clive Johnson: It's fairly close yeah.
Michael Gray: Okay. Thanks very much, appreciate this.
Clive Johnson: Hey Mike, I have got those costs.
Bill Lytle: Yes, just coming back to your question, so you're talking about the cost per ton. So, my cost buck 98, so in general was $0.58, processing cost $11.45. And then I don't have the stripping ratio for this phase II, but I have a stripping ratio for the entire project in 2017 we're looking at 6.5 to 1.
Michael Gray: Thanks. Really appreciate that. Thanks.
Operator: Thank you. The following question is from Ovais Habib of Scotia Capital. Please go ahead.
Ovais Habib: Hi, everyone. Couple of questions from my end. Just starting off at Fekola. We saw some good exploration upside from Kiwi and Weaver [ph]. Are we going to be getting a new mine plan that's going to be including this to kind of you know give us or show us potential of the expansion, is that underway right now and when can we expect that?
Clive Johnson: That's, just only got a couple of drills in the Kiwi, until we get significantly more drilling into it and understand it's size and shape distribution to, I can't call it on a new mine plan. I suspect these guys will be mining for some time before we have that pin down. As you probably saw on site our number one focus right now is on the Anaconda deposit. We really think that something that can be putting the production quickly and cheaply and so our focus is on that. We’ve already putting now, we really putting from expansion at the single and there is an up one that is take care of that so, in terms of all deep thing we call the pick ultimately goes based on query maybe give us another year so before we really don’t.
Ovais Habib: And are we looking to getting the updates on the Anaconda?
Clive Johnson: We plan to have a resource and we hope we have a resource completed by the end of the year.
Ovais Habib: Okay. Perfect.
Clive Johnson: Well, hopefully all of it but it seems to have some rate returns of - once as we know.
Ovais Habib: Okay, thanks. And just moving on to Otjikoto, are we also looking to get a new Mine plan based on the Wolfshag zone coming in or is it more in internal study that you guys are going to be giving us information as we go alone?
Bill Lytle: Well, right now, I think we actually guided in the MD&A and I'm not sure at the end of Q1 next year we are talking about the open pit zone and the Q2, we're talking about making a decision now and kind of where we are going go from there, what’s the difference is that between the open pit and underground we're still looking on that and based on additional studies we've got coming in right now.
Ovais Habib: Okay. But you guys are going to be mining the Wolfshag or you are mining Wolfshag zone right now, right? And that’s expected in Q4?
Bill Lytle: That’s correct. You will have limited ounce in the Q4, but we really mine a lot next year for sure. We've got several years but we have to really come up with and I think we’ve got - two years and like the mine right now, ship in Wolfshag open pit.
Ovais Habib: Perfect. Okay and just my final question on is on Libertad obviously Habaly and Tena [ph] is being - we are looking at mid-2017, in the meantime is the mine, is the ore going to be replaced by the Habaly zone, the higher grade Habaly zone. Well, is there more potential at Mojon underground?
Clive Johnson: Mojon underground will continue but the majority of the ore is being replaced by material coming from Habaly central pit.
Ovais Habib: And Bill, is that the Habaly central pit I mean what kind of grades are you expecting in 2017?
Bill Lytle: Well, we've been running here today just about 2.8 grams in that range. Our budget Cal to that short about 2.6 grams. So, it will be in that range.
Ovais Habib: Okay, perfect. That’s it for me guys. Thank you so much for taking my questions.
Clive Johnson: Thanks, Ovais. .
Operator: Thank you. The following question is from Geordie Mark, Haywood Securities. Please go ahead.
Clive Johnson: Hey, Geordie.
Geordie Mark: Good day, guys. Just a - few questions, just on the - just following on from Masbate and obviously with the vein coming through higher oxide and now you are referring to be the higher grade, so far material from main vein into 2018, give us a feel in terms of how that’s the great profile and recovery profiles obviously, the new blend, but also given the integration of the upgraded processing circuit there?
Clive Johnson: We flip the switch to higher percentage, solve by Geordie in 2017 not 2018 that’s where it was using the high grade that we stockpiled for being bad debt. We look at running through 2017 that approximately 25% to 30% on site ore which we bring out at our overall recovery down a little bit we’re still looking closely and reforecasting recoveries, thanks to the efforts of John Rajala. So, no real changes there except that we're using our block model recoveries which are pretty well established.
Geordie Mark: Okay. Thank you, and just maybe following on for Masbate obviously all-in sustaining costs were well down for the quarter and then NOC mentioned some lower expenditures 31 million for the year. Across the board outside of Fekola increase, just wondering in terms of what the CapEx, sort of is looking at for Masbate for the year and was there adequate of the planned expenditure deferred into next year that we should consider.
Mike Cinnamond: Well, it's Mike here. Masbate was part of that 31 at the week I don't know both kind of it is Masbate of that 31. Part of that it was deferred to strip where because of the sequencing in the minor oxide we were getting out of Colorado Pit we have lower strip ratio this year that's about $3 million. And about 7 of it related to just timing of payments of Lad and some tailing stamp work. So, of that 10, I would say that the majority of it would be expected to reverse and come into next year at some point. Overall of the 31 that I mentioned as savings for this year about 10 of it probably will saving that more for us. So, the balancing probably can expect to see come in next year subsequent years.
Geordie Mark: Great. Thanks, Mike. And to if I guess Libertad. I think some of that was said earlier might have missed in terms of replacing I guess any part of at the end of next year and thinking for heavily intended to come owners to early detail.
Bill Lytle: We're looking at mid-year as if right now.
Geordie Mark: Right and this is going to be all replaced to Habaly central I guess.
Bill Lytle: That's correct.
Geordie Mark: Okay well done. Thank you very much.
Bill Lytle: Thanks, Geordie.
Operator: Thank you. The following question is from Jeff Killeen of CIBC. Please go ahead.
Jeff Killeen: Hi, good afternoon and thanks very much for your time. Just wanted to the cost side of things. maybe from a higher question there is been a lot of questions around this during the quarter really good to see your cost coming down about 10% decline on the cash cost and the all-in. can you give us a sense on how much of that decline is excessively from B2 looking on optimization and things on site versus those macro inputs like FX and fuel that you don't control?
Clive Johnson: Could you just repeat the question again the first part of it?
Jeff Killeen: Yeah, just wondering of that roughly we're seeing about 10% decline on your costs in terms of guidance from where you were. How much of that decline can be attributed to optimization of process and no sorts of things from B2 versus the macro inputs like fuel and FX?
Clive Johnson: Well, I think you've heard some of it alluded to already. Certainly, on the optimization side on Masbate putting those new tanks in and improvement the recovery is definitely component. Maybe John can talk about a little more detail.
John Rajala: Yeah, that related to the cost. I'd say it's both 50% related to the lower fuel prices and the other 50% related to optimization.
Jeff Killeen: Okay, great. And so, thinking about that going forward then for 2017 and beyond, can we think about adjusting some of our estimates in that sense if we're going to see similar type of currency and similar types of oil prices going forward?
Mike Cinnamond: Certainly, on the fuel side we've realized those costs and they've stuck through the third quarter. I tell you that our fuel policy to hedge 50% of our one year over the next 12 months. So, we're right up to date on that, so we've hedged basically 50% of our fuel need as basically today's spot. At the end of the quarter that book was basically neutral. So, that means that we're locked in that's basically what the forward prices for diesel and - forward at the end of the September for 50% of our needs. And in 25% of our needs for next 12 months after that. So, we should certainly factor that in when you look at the fuel price those cost side. I think John to take Masbate as an example with the new plan put in the place I think the recoveries and predicted we disclosed it at the MD&A improved by somewhere between 2% and 3%. So, you could build that in and the FX rate that we benefit from and maybe that’s not a huge component. But again, that's a weaker that weaker Namibian dollar which is back in the rent does benefit it to some extent. So, it's you got to forecast yourself. Where you think that’s going. We think it's probably going to stay fairly stable right now around where it is.
John Rajala: Well, on the live side on the fuel savings through September we're about 50,000, but you have to remember if you look at the year-to-date movements there are couple of things to consider one is still material move. And we're almost half a million cubic meters up in that regard above budget. And we’re still sitting at lower cost. So there's sub performance there, back calculating from fuel charge that we can look at, savings, those are efficiencies on [indiscernible] primarily, savings on [indiscernible] and some other let's say making the point.
Jeff Killeen: Thanks that’s very helpful. Then maybe switching to Otjikoto and Wolfshag specifically, you noted that you’re doing some assessment now for the open pit and underground. Can you give us a sense of the main factor that’s controlling that decision right now? I’m assuming it’s really just assessing what you think the best position for the pit bottom is, is it, geo-technical, is it cost base I’m assuming you’re trying to maximize the size of the pit itself. Can you maybe just give us some color there?
John Rajala: Yeah. So yes, yes, and yes, so far. So everything you said is certainly playing into it. We started some geo-tech drilling where we thought the underground would be running to some conditions that we’re having a good look at now, also geo-hydrology is an issue. You also got the issue that Namibia is not a big underground mining country. And so we’re looking at how those economic play in. All those things are in play right and obviously as they could change to get the additional drilling and everything down the results all will play in.
Jeff Killeen: Okay, thanks and then last from me on Fekola, I think you mentioned that you are hoping to have the resource by perhaps by year-end or maybe early next year. How do you think that may shake out? Do you think there will be a large component being inferred do you think there will be any indicated and how could that play into working that into the Fekola process?
Mike Cinnamond: Well, as far as looking at the Fekola process the engineers won't work on that till we provide them with a final model. We suspect that most of the models going to indicated.
Jeff Killeen: OK that’s great, and so then could we maybe assume that there might be that material integrated into the design before the end of 2017?
Clive Johnson: You know I'm going to let the engineers comment on that but they are just looking at adding a typical or there is some potentially could add be being standalone also.
Mike Cinnamond: Yeah, we are looking at a real simple plan, that basically there's really fine material up there. So depending on the size of the resource we are going to be looking at scoping study options here depending on how we might be handle that very cheaply at a very, very low cost producer, on that low grade material up there. You don't have a crushing component, there's a very small grinding component, those costs can be very, very volatile. We will consider a standalone also.
Clive Johnson: Yeah, I guess from my side the answer is we don't know how long it's going to take, until we get the resource, until we get our head around, we are just starting to do some of the detail metallurgical work now, we don't know.
Clive Johnson: The potential is obviously potentially much simpler process because, potentially if the ore body, [indiscernible] and there may be ways to as the inventory on that, I am going to let him talk about, no - but it's going to in our estimation, it it's real it's going to be potentially very low cost because of the nature of the ore body and the potential simplicity of mining and the recovery. John could you say a little bit about that.
John Rajala: Yes, the initial results primarily are samples, we are achieving the recovery, ore recovery is in the mid-90 percentile. So the metallurgy looks good. However we are doing the test program now and it's material. So it's fine and the energy cost for processing it are going to be very low. So it will be a world class operation.
Clive Johnson: So then just adding my line on the back end that's obviously a good thing but we think that it could potentially have a more significant effect on production within maybe a few years. It all depends on what could you do there is, mining process is pretty cheap there on site, it's not a huge capital cost and we will do the carbon dump, so it has potential to directly impact the coal production levels and therefore should be low cost. So it's an example of us thinking outside the box as we tend to do our continuing exploration at all stages processing this industry, with often great success. Earlier we spoke on the mill that you acquired three years ago because you didn't like the challenges you have explained to see how to see coverage it had. To that point the increase of 25 million tons a year that we had the coal that we preplanned for that same thing doing with Otjikoto, which is built in 20% to 25%. Design factor which means that we are - we want to build the pressures and mills and other things such that we can in the geological report see significantly higher throughput with very little in cost that gives you [indiscernible]. We got 80 million of additional cost beyond we already did in all the building to allow for the expansion. And the reason we made those decisions was because we and [indiscernible] for Otjikoto because the results we should be building some expansion. Just by the way just so people have realize that it's fair to us challenge to take what you call the 2.6 million as the year to 3.1 year on . And that orders can stay up forever but I think we're getting around probably 2 to 3.1,
John Rajala: We managed it for 3.3 but we're probably got a process about 3.5 million tons this through the mill.
Mike Cinnamond: So it's not only of - and but if you would down there, but just a perhaps underlying that point. By over buildings around work. By building the design factor that allows us to go logical in and making our decision recently to spend the on the $10 million double on a few things like pebble crusher and another generator few things of thought. We made the decision to you know [indiscernible] and we made the decision to ahead with it. In our view probably not a single guideline for all but because we were satisfied that they are trying to mine the ores that [indiscernible]. We are there to hopefully be there for a long time with the mill that we don't would emphasize of now or the year now. When - and his group identify and our engineering shows that we have in front of economic, nobody is around - but also including very some pretty good inner shapes pretty early but some pretty good deepest - below the currently plan and pick which is just to make the underground as well. So that's the reason why we like to go there it's one of our part our kind of long-term strategy. It's part of our strategy of having an improve perhaps unique quite usual combination of exploration, development and then the usually close relationship that we enjoy between our - engineers which came from a lot of them years of looking at that relationship. We are net - totally in long but we like - realize that we all on this together as part of it I am confident I will be. Here is a final comment that I know that there is one question for relative to wrap up.
Jeff Killeen: No that was it for me and thanks very much for your time and good luck on a strong finish to the year.
Mike Cinnamond: Yes.
Chris Thompson: Okay, so it's Chris Thomson here.
Clive Johnson: Chris I would assume we - the answer that any detailed questions you had you can ask through the phone.
Operator: Mr. Thomson, if you are using a speaker phone, please lift up the handset or unmute your line, we're unable to hear you.
Chris Thompson: Can you hear me, so I didn't - I am sorry. Okay, just I guess a lot of my questions has been answered with just the final one for me, just moving on to - might sense there is a combination of I guess of - here from - from heavily central as well as the underground - could you just be a little bit more specific on the mix there at the moment please?
Mike Cinnamond: Yeah, mix would be about 10% underground level or on 20% spent to look and 50% heavily central.
Chris Thompson: Okay, can you just tell me a little bit to give us an idea of the remaining spent - top power if you could -?
John Rajala: I don't have that at my fingertips here.
Chris Thompson: If you're enough to satisfy maybe 20% of oilfield for another year that do you think?
Clive Johnson: Yeah, we should but it figures significantly in our plans for the coming year.
Chris Thompson: Okay. And then finally just on Otjikoto guys. Just I guess I guess Wolfshag, have you got a sense of grade looks like a grade you're going to be drilling from as far as the Wolfshag get deposit as far as mill feed there initially?
Clive Johnson: Initially, yeah we're talking about next year, I'm just looking at it. Processing 930,000 ton at Wolfshag grade at 2.48 grams per ton.
Chris Thompson: Great, thanks for the time. Perfect. Congratulation guys on a very solid quarter.
Clive Johnson: Thanks, Chris.
Operator: Thank you. The following question is from Steven Butler of JMP Securities. Please go ahead.
Steven Butler: Guys, good afternoon or good evening almost. Otjikoto, can you remind me again. Bill, I think have spoken to you on site visit with respect to fuel as a percentage of operating cost. I think it was 40% for coal in the plant. And is that similar levels at Otjikoto as Otjikoto greater or lesser than that level of contribution to operating cost.
Bill Lytle: It's a good question. It’s approximately the same level we're actually where we're debating that exact question with the site. They say that it's a little bit less they're saying it between 20% and 30%. So is this between we say 40% right, but the side thing is between 20 and 30 and that's an ongoing discussion right now.
Steven Butler: And Bill sorry, you're thinking it was for coal plant it would be roughly 40% that's what we think we heard at the site visit?
Bill Lytle: Yeah, I think it's 30% I think we corrected that we have 20 and 10.
Steven Butler: Okay. And the fuel prices implicitly put into the fees I could look at up but that was obviously higher than where we are today?
Bill Lytle: Correct.
Clive Johnson: That's right. The fees included the pricing the ONAP pricing which is in the country. So, the fuel index that they have as at the feasibility was compared. But since then we've actually got - on for taxes on our fuel. So, we do expect it to be a bit lower.
Steven Butler: Okay. So, when you think about the lesson that's learned and all the good things you've taken from Otjikoto across the board of - few borders over here to Fekola. Can you also think about apart from fuel and any other areas where you thinking pleasantly about operating costs and the future for Fekola?
Clive Johnson: Well, I don't know John maybe it's probably better for you to answer that one. It's pretty good.
John Rajala: Well, yeah again to our operating practices. We're going to be implementing a lot of the same practices that Fekola that we've developed that Otjikoto and that's been a help, save costs and for more efficient operation.
Steven Butler: Right, okay. Thanks, guys. That's it.
Operator: Thank you. [Operator Instructions]. The following question is from David Medulla [ph] of Macquarie. Please go ahead.
Unidentified Analyst: Yeah, thanks for taking my questions. The first question just following up on Anaconda, do you have a sense of the implied stripping ratio and cutoff grade that you could provide us with?
Mike Cinnamond: No, not until the model is completed. It's really difficult to choose the numbers out there. All as I can say it's a fairly flat line body. It mirrors the surface and mirrors the - on content and most of that material depending on which method we choose to recover it. We cut off grades can vary significantly. But generally speaking it's going to be a very low cost operator. Now the exact number I can't throw but everything completed resource model yeah I don't really think it's fair to speculate. So, we're not at the age so we haven't had a chance to figure out the best way to do it.
Unidentified Analyst: Right, got it. And that Libertad could we get the unit cost for mining processing and G&A in the third quarter. And is it expected for the Habaly central ore that it will continue to be hard from a processing standpoint for the perceivable future.
Bill Lytle: Yeah, answer the last question is yes, we see a little bit Rocky ore that in fact throughput to the small degree. I don't have the cost broken out for the third quarter up at the year-to-date about $4.5 per mining that's per ton mine ore per ton mill per milling 13.25 and 4.22 G&A.
Unidentified Analyst: Great, thank you. And my final question just asking about the long-term value added tax receivable of 7 million collected, can you let us know which asset sale related to?
Bill Lytle: I think that mainly Masbate, I am happy to projected for you with certainly a significant portion of its Masbate.
Unidentified Analyst: Great. Thanks a lot for answering my questions.
Bill Lytle: Thanks.
Operator: Thank you. There are no further questions registered out this time. I’d like to turn the meeting back over to Mr. Johnson.
Clive Johnson: Thanks, Melanie. Thanks for questions. It sometimes analysts want to give several of that detail which is fine, then you obviously can also email Carrie or if you know Carrie and we will put you in the duration of who can answer the really detailed questions for you. Just a couple of comments so answer some good questions that were asked. Just about things like M&A and the strategy going forward I'll be brief. I think it’s compared to be recently that the amount to look backwards too much, but if I think about where the long-term strategy is, I guess it occurred to me a while ago that we’ve been I guess known for some contrarian or bold moves historically Chilean 88, Russian 98 some people would say the [indiscernible] and other things that we have done perhaps by the amount of [indiscernible]. At the end of the day I think I've figured out, we've heard part of it which is that we think our mission is to grow responsible, profitable, ultimately dividend paying to immediate gold producer through the acquisitions and exploration. But that's great [indiscernible] but at the end of day I think most important part about that is the next moves and generally fact respect in the gold price. So I think that's kind of the key because we do see companies not to be critical, but we do see companies perhaps the management isn't thinking longer-term themselves and I know sometimes I don’t talk about them, but we have a long-term vision, the vision as we know is it was 30 odd years for many of us and the mission there is the same as the mission today, which is currently immediate reactions to the gold and trying to avoid things like we're paying for things, we’re paying for our system and to be that. But I really think that’s an important part of our strategy is it is long-term and we hope and this is not going to be 35 years that’s B2 based over the last 10 years within - while [indiscernible] speak which of course re-demonstrating but that’s not a good deal, we never go there. But we’ll continue that process and just continue to that idea that and really domestic outlook that as financing the Chilean and gold mine in Russia, with gold at below 300 actually 260 so, we don't know how we did that, but you know fairly original option and we did it and that saved Bema and that approval. So, I don't necessarily do things for Fekola is contrary and then they appear and they're contrary. Because think back to that 200 years ago there was no one doing M&A, a very few and the reason they want because all the shareholders extremely unhappy without progressive write-downs or failed construction or that even much. And let me say it by the way I mean I am known to be a little critical of the industry, but I must say to be fair perhaps to say that the industry has improved significantly and many companies in the terms of operating cost and other things they have done to improve their cost which always makes a question of lot of the things before. With that aside I think that there has been am improvement and issues we're getting some of that's fairly long last year at the end of the day. So, volume tendering for call and no one else was bidding which was remarkable when you consider where it is and what it is really a world class asset. That’s a real reflection of ability to those to do with because as I said [indiscernible] stocks reflecting, and price reflecting it and it's also the fact that when the market is bad the easiest things sometimes to do is to try [indiscernible] and perhaps listen to the minority shows and maybe too much and not grow the company, it takes courage to grow to do things that no one else is doing. But it's kind of fast thing to see how the market can change. Without that really that bigger move on gold price obviously move. But as we were told at the end of the last year and I understand that we were told by many, many institutions there is some new good story controls everything you guys can potentially pull it off given your track record. But we have buy our shares because [indiscernible] I get that, because everyone they're gone literally were saying the same thing, which we just want free cash flow, we worried about the gold price and we want free cash flow. So, what is the best time to build the low-cost gold mine, no surely it's old time anytime. So, we try to do things here respect from the gold price and I think at this moment we ever seen this is at the right downs and why are we have we made mistakes in terms of assuming higher gold prices or exploration success. So, the Fekola and I've been talked to quite a few analysts and other people that know more about the market that I do and asking them so what do you think if Fekola was in the market today what would [indiscernible] we paid 0.5 billion with no real competition. Well, the consensus I would say if you will and in terms of maybe it was started around $1 billion. Well, I have been told by many people that's pretty low given some of the other deals we've seen recently because there aren't a lot of projects out there that we did so. So, I think that's just an outlook not just being contrary, but it's an example for the long-term strategy. So, we just wanted to keep growing this company whatever the gold price does. It's property for the company. We don't have to have an easy correction, the others perhaps had to have or the cost themselves to have to have to the gold price. You either doing acquisition to 1800 or you're suffering to write-downs and not doing anything when gold was lower. So, I think we're proud of our long-term strategy and included we enlisted the ability to do it. So, we'll look to continue to grow the company through accretive acquisitions which frankly are getting more difficult, but we've done some several if you look at this in each of goal. So, we'll continue to look at that as an industry growing. And perhaps when we start to see our market cap and the share price reflect the real value and also obviously as we get closer to coal production and dramatic impact that it has to interest reflected in the market capital share investment gain obviously, they're looking at other opportunities. In the meantime, and then answer it hard to management for me and I think for our group to imagine finding anything that we would want to do a significant acquisition of today. Frankly just given what we're trading versus where we think we are potentially trade in the year and a half. So, we don't use our shares down here to do something unless it's really something that is compelling and something that is in perhaps similarly undervalued as we see ourselves being going forward for the year and now. So, that's the only way I can see something happening in that regard. And the other to its reflected value per asset that we have for sure. Now we've got significant assets with that and some of the potential short-term for Fekola. And the sample rigs that we're talking about the - well the intriguing thing about that is what caused for kilometers separately which is where the material and obviously, the mineralization comes from somewhere below. So, we've always thought there was a potential for belt [ph] and some of them discovered so far on significant deposits perhaps similar for Fekola. So, we got a significant value from Fekola and we've got a continued support to see what other sub things are out there as we go forward to continue to some of the ounces to have catalyst a share price to exploration. Additionally, we'll hope quite a bit more some [indiscernible] exploration. We had Tom as given that pretty dramatic success of exploration both as major discoveries in the past and also some of the new discoveries around their mines and these projects. So, we needed to find out of Kiaka should be where it is which is no value or in [indiscernible] which is fine by else. We need to find out what gold pricing needs or if there is near-term exploration success that can make it something economic. We won't suddenly change and build something because we won't. I think by an exploration targets in there as well, obviously, we like to say get some more value for as well. So, I just wanted to touch that strategy because I think it's a significant and I think that I always pass those sometimes when I hear stories and kind of wondering what the long-term strategy is. And I think our 100% strategy is not try and beat the market not try and guess what's going to it's very dangerous and not get too excited about excess potential and valuing projects that we have to go and justify the project based on the acquisition cost based on a higher gold price and based on how much exploration success which our guys can tell you which way success so rare and so elusive yeah we seem to be very good at achieving it but we never want to pay [indiscernible]. So, I think that's most of what some other [indiscernible] I want to say at the end of the day, so [indiscernible] is a company we are excited about looking for the future and we really appreciate [indiscernible] that we look forward to sharing the results with everyone else as we continue to grow the company at a fairly extraordinary rate when you look back to future gold starting to zero in 2007. So, on those that put a number on what we might try to get to in terms of ounces because that's really hard to predict. But I guess just as a range that we kind of look at the company, perhaps that $2 million, $2.5 million to $4 million a range eventually that is sustainable, profitable dividend paying responsible company. So, that's kind of where we started to go to, I was going to say [indiscernible] but at the end of the day only with the projects and only the successful things we can handle. One of the key is to our technical success is obviously the technical team that's here in the room today. The senior leadership, that has unbelievable amounts of experience. I am not going to tell you our years’ experience because you could take the numbers [indiscernible] everybody's, but everyone is clearly very motivated to continue on, but that's the key and the other key is people say how do you do this around the world so well. That always different [indiscernible] jurisdictions [indiscernible] you cannot [indiscernible] anywhere else as a head office. So, you need to go down and have great people [indiscernible] that's we've done extraordinary well and there is many examples [indiscernible] comes to mind as one of them. So, thanks everyone for their time and if you have follow-up questions, please feel free to email Carrie Suffolk ksuffolk@b2gold.com and actually to point to that direction. One final note for those of you that have not gone on to our website and not gone to on YouTube and looked at this professional documentary, extraordinary, probably just a great story about how the future gold does it and in this case, how we did in Namibia. I am sure it's going to be an award-winning documentary and it is great for everyone from the analyst through the [indiscernible] or the high schools where everybody thinks that mining is bad, it's a great example of what we do and how we do and it's a pretty, it's almost illustration [indiscernible] about that, how we see the industry and our responsibilities. We are an industry and how you can actually be very successful, it still does all the right things for the people and the country. Our employees [indiscernible] average 97% of local people. Most of them trained by us. We're very proud of that of the event we have. So, thank you all. The video is called gold remains on YouTube and on our website. Check it out. Bill is right.
Bill Lytle: Thanks.
Clive Johnson: Thanks, Melanie.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.